Operator: Good afternoon, ladies and gentlemen and welcome to today’s Blink Charging Company First Quarter 2022 Earnings Call. At this time, all participants have been placed on a listen-only mode but we will open the floor for your questions after the presentation. It is now my pleasure to turn the floor over to your host, Jennifer Belodeau, IMS Investor Relations. Jennifer, the floor is yours.
Jennifer Belodeau: Thank you. Good afternoon, everyone, and welcome to Blink Charging's first quarter earnings investor call. On the call today, we have Michael Farkas, Chairman and Chief Executive Officer, Brendan Jones, President, and Michael Rama, Chief Financial Officer. Please note that there’s a slide presentation accompanying today's earnings call, where viewers can follow along. The slides can be accessed on the Investor Relations section of the Blink Charging website. I’d now take a moment to read the Safe Harbor statements. This conference call contains forward-looking statements as defined within Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements and terms such anticipate, expect, intend, may, will, should, or other comparable terms involve risks and uncertainties, because they relate to events and depend on circumstances that will occur in the future. These statements include statements regarding the intent, belief, or current expectations of Blink and members of its management, as well as the assumptions on which such statements are based. Prospective investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve risks and uncertainties, including those described in Blink's periodic reports filed with the SEC and that actual results may differ materially from those contemplated by such forward-looking statements. Except as required by federal securities law, Blink undertakes no obligation to update or revise forward-looking statements to reflect changed conditions. With that out of the way, I’ll turn the call over to Michael Farkas, Chairman of Blink Charging. Go ahead, Michael.
Michael Farkas: Good afternoon, everyone. Thank you for joining us. We delivered a strong start to 2022, highlighted by record revenue of $9.8 million, an increase of 339% over the first quarter of 2021, driven by exponential growth in both product sales and service revenues. Our record first quarter results are reflective of the solid platform and reputation that we've built in the EV charging industry, as partners and customers recognize Blink as a leading provider of charging technology and services. In the quarter, we contracted shoulder deployed 3,174 commercial and residential charters, an increase of 99% compared to the same quarter last year. We also continue to see success winning new grant and rebate awards from various government programs, receiving $3 million in awards in the first quarter of 2022 and $30 million since January of 2021. Federal and state grant and rebate programs have been an integral part of our growth, providing us with numerous opportunities outside of the traditional sale of our products, to expand our charging footprint, which Brendan will speak more in depth about later on in the call. The legislative environment surrounding the EV industry is incredibly favorable, and we believe we are positioned to win many more grants and rebates as federal, state and local governments allocate the $7.5 billion from the Biden administration for state-of-the-art EV charging infrastructure. Following the close of the first quarter, we announced our acquisition of Electric Blue or EB Charging, a leading provider of integrated EV charging and sustainable energy solutions in the United Kingdom. This acquisition both expands our European presence into the UK and adds over 1,150 chargers installed or committed to delivery. It's adding that to the Blink charging footprint. A key part of Blink’s strategy is to make acquisitions and to establish multi-year exclusive partnerships and increased charge deployments and our market reach. With the acquisition of EB Charging, we are now present in over 19 countries, including US, Belgium, UK, Greece and nine countries in Latin America as well as others. Turning to slide five. As you can see, the EV industry is still in its early stages and poised for massive exponential growth over the next decade and beyond. As such, I'd like to take a moment to reiterate just how much we believe the opportunity Blink sees for future growth as a leading provider of EV charging solutions. According to the International Energy Agency, global EV sales are projected to grow at a CAGR of 24% from 2021 to 2030, with a number of vehicles sold increasing from $3 million in 2020 to about $25 million in 2030. This projected increase in electric vehicles creates an immediate demand for robust EV charging infrastructure, with a need for over 120 million EV charges globally by 2030. As compared to the only 2.8 million charges available globally in 2021, the growth is massive. As a leading provider of EV charging technology, we believe this growth presents a tremendous opportunity for Blink to significantly expand our charging footprint over the next decade and beyond and exponentially increase our share of the market. Now, looking at slide six. We highlight Blink's unique value proposition that differentiates us from our competitors as a leading provider of EV charging technology. Our innovative product portfolio offers our customers a variety of charging options to fit almost any location or environment. As I mentioned last quarter, we unveiled seven new next-generation charging products at CES in January, including our Vision IQ 200 charger targeting the 1 million-plus retail locations across the United States. The HQ 200 residential charger, that allows us to target the 10 million-plus home charging market, and the Blink management software and Blink mobile app, connecting our charges across all three operators. We are constantly looking for new ways to improve our product offerings in order to remain at the forefront of the industry and to resist obsolescence, and we design our products with the future innovation in mind. Complementing our industry-leading product portfolio are our multiple business model options centered on providing flexible and fully integrated charging solutions to our customers. While we have several different deployment options to fit our customers' needs, our main focus is on our owner and operator model. As an owner operator, we're intimately involved in every step of the installation process and can facilitate upgrades and other maintenance as needed to provide the best technology for the location, while also benefiting from anticipated increased charge utilization as more EVs are on the road. We also had the discussion to add charges to a particular location when we decide this is necessary and obviously when demand requires. Additionally, we provide long-term exclusive contracts with automatic extensions, which allows Blink to establish a long-term presence and increased brand recognition in the locations where our chargers are Blink owned and operated. With our unique model, Blink remains the only fully vertically integrated EV charging infrastructure company in the USA today. Another part of our strategy is the expansion of our domestic and international charging footprint. In the United States, we made progress by continuing to identify the best locations to deploy our chargers in areas that with maximum utilization rates and drive increased revenue. Internationally, we successfully expanded our European charging footprint through our acquisition of Blue Corner in May of 2021, which we've grown since -- significantly since we've taken over the management of that business. And recently, we acquired EV charging to establish a presence in the UK. To date, we are now present in over 19 countries, including the US, France, Netherlands, Belgium, UK, Greece, Latin America, South America as well as others. And we continue to expand our presence and visibility. We believe that we are well-positioned to capitalize on the numerous opportunities emerging from the increasing demand for reliable EV charging infrastructure, both organically and through M&A activity. As you can see, we've made tremendous progress in the first quarter of 2022. And I'd like to extend my gratitude to all of our employees, members and our partners, which we deploy our charging infrastructure, and we commend them for their hard work and dedication to growing into leader in the EV charging industry. We are energized by the many opportunities we're seeing and look forward to driving strong results and momentum as we progress through 2022. Now I'll turn the call over to Brendan Jones, President of Blink to discuss some of our recent developments.
Brendan Jones: Thanks, Michael, and good afternoon, everyone. It is a pleasure to speak with everyone today. As you can see from the logos on slide 8, we are fostering partnerships and winning contracts to bring innovative EV charging solutions to a wide variety of verticals. We've won numerous multiyear contracts with a variety of well-respected commercial enterprises, healthcare facilities, plant communities and municipalities. And we are seeing tremendous opportunities to continue this trend in 2022, including two new partnerships with the State of Virginia -- excuse me, with the State of Massachusetts and Virginia. These collaborations are an integral part of our business as entities in both the public and private sectors pushed for the widespread adoption of electric vehicles and the establishment of a robust EV charging infrastructure. We are pleased to be providing our state-of-the-art charging solutions to our valued partners, and we look forward to teaming up with additional businesses and municipalities that want to offer innovative EV charging technology to their customers and residents. Turning to slide 9. Within the last 12 months, Blink has contracted, sold, deployed or acquired over 19,720 chargers, both domestically and internationally, bringing the total charge account for the company to over 36,000 since Blink's inception. We have a healthy mix of deployments in the United States and abroad, with 57% of total Blink chargers deployed in the United States and 43% deployed internationally. In addition, as of the first quarter of 2022, Blink has provided service to over 270,000 registered members and unique users throughout the world. Consumer demand for electric vehicles is steadily increasing, meaning the need for a robust and reliable EV charging infrastructure has never been more necessary. Our global network of chargers has steadily expanded quarter-over-quarter and we expect this increase to continue as the demand for EVs increases. Slide 10 gives an overview of our charging stations deployment in key geographic locations throughout the United States and Europe. We strategically identify our locations based on several criteria, including EB concentration and driving habits, population and density figures, historic and forecasted traffic patterns and future market growth potential. In the first quarter, we deployed charging stations across six countries and 40 U.S. states and territories, working with both local and state government agencies and numerous companies. Internationally, we are seeing experienced momentum throughout Europe, which has provided us the foundation to expand our charging footprint in those markets. Turning now to slide 11, we believe Europe presents a tremendous growth opportunity, and we've aggressively increased our presence there. We believe our latest acquisition, EV charging, is a valuable addition to our company and a complement to Blue Corner, which also recently received a €450,000 grant from Flanders Innovation and Entrepreneurship for the development of an energy management service. So we are seeing solid progress in both our expansion efforts, and the development of our products in international markets. And we remain focused on strategic M&A opportunities that will contribute to our growth. Moving on to slide 12, as Michael discussed, we are launching several exciting new products in 2022, including Blink's Advanced Fleet Management Software and accompanying mobile app designed to be used within the Advanced MQ200 hardware. Together, the hardware and software will provide a 360-degree fleet ecosystem. In addition, we are preparing the launch of an entirely redesigned Blink mobile app, making EV charging easier for drivers. Also planned for launch in the coming months is the innovative Vision-IQ 200 charger, which we believe our retail customers are going to appreciate -- and also, we have the compact powerful 50-kilowatt wall DC fast charger, which can fit in just about any location. Lastly, the HQ 200 is a residential charger designed to satisfy the diverse needs of homeowners. Overall, we have a comprehensive portfolio of charging solutions to fit the needs of any customer, public or private with the capability to penetrate numerous different markets. Slide 13 provides an overview of the historic 1.2 in trillion federal infrastructure bill that includes an estimated $7.5 billion to be used for building the nationwide infrastructure to support the anticipated growth in the adoption of electric vehicles. Since January 2021, Blink was awarded $30 million in grants from several different state organizations, looking to strengthen their commitment to electric vehicles. With more-and-more states following this trend, we have a tremendous opportunity to capture valuable grant awards that will aid in the expansion of our footprint. Slide 14 details two recent examples of grants that Blink-Owned in the first quarter of 2022. And -- in March, we received a grant from the Massachusetts Department of Environmental Protection under the Massachusetts Electric Vehicle Incentive Program to install our chargers at strategic locations across the state. Then in April, we received another grant in the Mid-Atlantic electrification partnership through Virginia Energies to build out their rural EV charging network by deploying blink chargers in partnership with Virginia Clean Cities. These grants are valued because they allow us to expand our charging footprint with limited deployment expense and enhanced return on our investment. We've made strong progress partnering with industry leaders and government entities for the deployment of our chargers, and we're expanding our charging footprint globally through strategic accretive acquisitions. As a result, we've been able to deliver considerable growth, highlighted by a 339% increase in year-over-year revenue, driven by increased product sales and service revenues. We are excited about the numerous opportunities we're seeing in the industry, and we look forward to capturing additional grants and partnerships and strategically acquiring leading companies that can continue to grow our market share. I will now turn it over to our CFO, Michael Rama, to run through some specific results for the quarter. Here you go, Michael.
Michael Rama: Thank you, Brendan, and good afternoon, everyone. Turning to slide 16. Total revenue in the first quarter of 2022 grew to $9.8 million, another record for the company. and an increase of 339% compared to the first quarter of 2021. Product sales in the first quarter of 2022 were $8.1 million, an increase of 382% over the same period in 2021. As customers purchase greater volumes of our commercial chargers, DC fast chargers and residential charges as well as revenues generated through our European subsidiary through corner, which was acquired in May 2021. First quarter 2022 service revenues, which consists of charging service revenues, network fees and ridesharing revenues were $1.5 million, an increase of 346% compared to the first quarter of 2021. The year-over-year growth is primarily due to the increased utilization of our chargers and increased number of charters on our Blink network and revenues from the Blue Corner acquisition. We believe it makes sense to combine these three service revenue line items into one amount to differentiate between the product and service aspects of our business and this approach also aligns with our company's strategic goal of increasing the service component of our revenue mix and growing our recurring revenue base. In time, as EV adoption accelerates and utilization of our charging stations improve. We anticipate seeing a larger mix of revenues come from services. Gross profit for the first quarter of 2022 was approximately $1.6 million, an increase of over 1500% over the same period in the prior year. We continue to look at ways to reduce our component costs, especially in light of the ongoing supply chain disruptions occurring globally. Operating expenses in the first quarter of 2022 were $16.6 million, compared to $7.5 million in the prior year period. This increase reflects our long-standing commitment to investing in our business in anticipation of the domestic and international growth of our business, as well as operating expenses are on Blue Corner, which was acquired in 2021. We continue to seek out and hire talented individuals that will contribute to our company's growth and success. And we're committed to the research and development of innovative new products that place our product line at the forefront of the EV charging industry. That said, we ensure that our expenses are closely monitored and are benefiting the growth of our company. In the third quarter of 2021, we began the practice of presenting adjusted EBITDA. Our manager believes this non-GAAP measure is useful in evaluating our company's core operating performance because it excludes items that are either significant non-cash or nonrecurring expenses. Adjusted EBITDA for the first quarter of 2022 was a loss of $12.4 million compared to a loss of $6.5 million in the prior year period due to the previously mentioned higher operating expenses. Adjusted EBITDA as a percentage of revenues for the first quarter of 2022 improved 162 basis points compared to the first quarter of 2021. Now turning to Slide 17. Our revenues and gross profit performed well in the first quarter of 2022, continuing the upward trend that we've seen over the past several quarters now. As we execute our own and operator strategy and the demand for our reliable and convenient EV infrastructure increases, we believe that we are well positioned to continue driving increased revenues and gross profit moving forward. Moving to our cash position at March 31, 2022, the company had approximately $162 million of cash compared to $175 million at December 31, 2021. We believe we have sufficient cash on hand to fund our operations. We're pleased to begin 2022 with a strong start, and we achieved record revenues for the second quarter in a row. These improvements in our operating results as a direct -- or a direct relation reflection of the solid foundation we've built over the past several years and we believe we are well positioned to capitalize on the numerous opportunities and increased focus being placed on the EV industry. I will now turn the call back over to Michael Farkas for a few final comments. Go ahead, Michael.
Michael Farkas: Hello. We started 2022 by delivering tremendous results highlighted by an increase in year-over-year revenue of almost 340%. And we believe that with our strategy and product offerings, we are well positioned to drive growth throughout the balance of the year. We're energized by what's ahead for Blink and capitalizing on many of the opportunities that the EV industry is providing. With that, we will now open the call for questions.
Operator:  And your first question is coming from Stephen Gengaro from Stifel. Stephen, your line is live. Please go ahead.
Stephen Gengaro: Thanks, and good afternoon, everybody. So thanks for taking the question. So what I would start with is curious about the Electric Blue acquisition. Can you just give us a sense for like when we think about the 1,150 charges, I know some are either installed or plan to be installed. Given that the maturity or more higher majority of the European market versus US, how do we think about sort of the revenue content that brings on the charging side?
Michael Farkas: I just want to note not only the -- obviously, the revenues that are going to be derived off the utilization of the charging stations and I'll let Michael Rama address that in more detail. You have to look at the transaction itself. You're talking about a total potential cost of $23 million. The acquisition at first before potential earn-outs in shown was about $13 million. And we bought a company that has about $16 million in order book. So, it's actually more than what we're paying for the company. In addition, today, they buy hardware from a third-party. We're now going to fill those orders using Blink equipment. Instead of them using a third-party network company, we're going to put all of those charges and all future charges that they have on our network. So, it's -- again, there's a lot of cost savings. In addition, it gives us a tremendous footprint in the U.K. They've won over 40 different municipal contracts throughout the U.K. So, it's not only just the pipeline that they have of units today. But each and every one of those locations have additional parking spots in them and now become ours for the future. I'll let Michael address the revenue side in more detail.
Michael Rama: Yes. Right now, they're still fairly heavily on product sales. But obviously, as we start building out the footprint and additional Blink model, if you will, we'll start to see a little bit more on the charging side of the equation. But as Michael said, they had an order book of over $16 million. It's entrance into UK into that market. So, this is really what was the driving factors and the government participation that’s also involved. So really encouraged with this acquisition.
Stephen Gengaro: Great. Thank you. And then just a quick follow-up. When we think about -- if we exclude acquisitions, any guidance for how we should think about full year 2022 CapEx?
Michael Rama: Obviously, we're continuing to proceed. We're monitoring, obviously -- the inventory procurement, we're obviously with the supply chain. So, we're aggressive in obtaining inventory. So, absent any acquisition, we see the profile being fairly similar to what we've done in the first quarter moving forward.
Stephen Gengaro: Thank you.
Operator: Thank you. Your next question is coming from Matt Somerville from D.A. Davidson. Matt, your line is live. Please go ahead.
Will Jellison: Good afternoon. This is Will Jellison on for Matt Somerville. Hi. I want to start with a follow-up on the EV charging question just asked. Can you talk a little bit more about the process you went through in buying the business in terms of how long ago you were introduced to them, or whether or not you were considering any other U.K. charges as part of thinking about buying your way into that market? And then if any other firms were involved in bidding for the asset?
Michael Farkas: Brendan?
Brendan Jones: Yes, I'll take the question. No problem. So, yes, it's been a nine-month endeavor. We started thinking about it even further back than that. We went through an analysis of course, organic growth and establishing a presence just as a blink company in the UK, and then we look to grow through acquisitions. Ultimately, we decided on purchasing a company that operated and was fully accepted with both in the UK business community as well within the municipal community as well. We went through several different companies before we landed on EB. And what we liked about EB was, a, the owner-operated model that they're operating now and the expansive ability of moving them from not just owner-operator, but in-home sales of chargers that we have. So another product avenue for us and then hybrid models like we focus on as well. But the big takeaway is they're fully embedded within the UK community for all the grants and RFPs that are out there, and they're one of the biggest tender winners out there today. So we believe with the additions we'll provide, as Mike alliterated too, about the new network -- new hardware that we can get a return on that and a margin. And then all the new software that we're going to bring to the table, we're really going to take EB to the next level.
Will Jellison: Understood. Thank you. And then -- can you talk a little bit more about what, if any, supply chain challenges you might have encountered during the quarter? And what kind of impacts they might have exerted on product sales or procuring certain chargers or parts during the quarter and how are you able to navigate that?
Brendan Jones: Michael, do you want me to take this one?
Michael Farkas: Yes, please.
Brendan Jones: Yes. So we put a lot of effort in 2021 into making sure that we had secured our product lines for 2022. So thus far, in particular, on the L2 chargers, both in Europe and the United States, we had limited issues because we had already previously secured the components leading into 2021. We continue to do that for leading into 2023. As everyone knows, it's a challenging market right now. So if you're not way out in front, you're going to find yourself way behind. So the same tactics we engaged in 2021 to secure 2022, we're engaging in right now to Secure 2023. So we're seeing that all the products we have for current sales on the books and future sales throughout this year, we have indeed secured.
Will Jellison: Understood. Thank you. 
Operator: Thank you. And as a reminder, ladies and gentlemen, the queue remains open.  Your next question is coming from Sameer Joshi from H.C. Wainwright. Sameer, your line is live. Please go ahead. 
Sameer Joshi: Thank you. Congratulations all for a very successful quarter. I just had a few questions on the new product launch that the products that were introduced in the beginning of the year, when -- and what is the time line for actual deployment of these products? Any product that may already be in field and how it is performing, if you have any data that would be grateful?
Brendan Jones: Michael, do you want me to take it?
Michael Farkas: Go ahead.
Brendan Jones: So for the MQ which is the fleet charger and the supporting software and fleet network and fleet portal, that's all launching within the next 30 days. Right behind that, you'll find that the HQ 200 is launching, almost simultaneously, but just a little behind on that. Then as we move through the summer into the end of Q2, moving into Q3, we'll see the new Wallbox. We plan on launching that in the late summer. And then as we move into the end of Q3, we'll have the IQ Vision product out there. Then also, all the new network enhancements, or I should say, the new network that will support all of our global networks and global products that launches at the end of Q2. So we have successive launches planned throughout this quarter we're in at the end and the beginning of next quarter, and then into the end of Q3 moving into Q4 to round out the year. So, a lot of hot activity with a lot of new exciting stuff.
Sameer Joshi: Got it. Thanks for that. And are these products going in new locations or are there plans to -- or is there demand for change of some of the current locations with upgraded product?
Michael Farkas: Well, there's always going to be opportunities where somebody needs to upgrade. But what we see most is first, additionality to existing charging as we expand. As we've just recently seen in Massachusetts, they now want 10% in every parking lot that's out there of EV chargers. So we're going to be focusing there for additionality. And then this is all new business. Fleet, we have the fleet software, the fleet portal and the MQ along with the fleet DC fast charges. These are brand new exciting products to enter this segment, and we were going to get new penetration, new growth, new revenue out of that segment. So a little bit replacement, but that's the minor, the most additionality and new business.
Sameer Joshi: Got it. So, next question is probably for Michael Rama. Can you remind us how you treat the owned products? They go directly on the balance sheet, or do they go through any other financial statement?
Michael Rama: Well, actually, when we buy the chargers, right, just when we acquire them or procure them through our contract manufacturer, they come in as inventory on our balance sheet. Now if they get sold as part of a hardware sale, they get written off as part of cost of sales, but then if they are -- they turn into an or operate that they get transferred into fixed assets along with the -- any installation costs if we're paying for it, we'll get -- will be put on the fixed assets or property plant equipment and get depreciated over the seven-year period, five to seven year period on average.
Sameer Joshi: Understood. Thanks for that clarification. And then on the cost front, when we compare the sequential quarters from 4Q to 1Q, -- we see that the G&A line has gone up, whereas the compensation line has gone down. Has there been any changes in resources or reclassification of resources from one to other, or any other reason for this changes?
Michael Farkas: No. What you're seeing in Q1, and we've noted this on previous -- in previous quarters, we had the -- in 2021, starting around May, there was a performance -- special performance equity option award that significantly about $13 million that we've got expensed in 2021. And so you saw that lead through into 2021. We only had $1 million of that left to expense in 2022 in the first quarter. So that's where you're seeing the decline in the -- it's related to share-based compensation that the expensing of that got taking care of majority in 2021.
Sameer Joshi: Got it. Just one last book-keeping question. What is the number of employees now following the EB acquisition?
Michael Farkas: Brendon, you got the number probably closer to me, do you?
Brendan Jones: Yeah, including EB, we're just north of 230.
Sameer Joshi: Great. Thanks. Congrats for all the progress and good luck.
Michael Farkas: Thank you.
Brendan Jones: Thank you.
Operator: Your next question is coming from Oliver Huang from Tudor, Pickering, Holt. Oliver, your line is live. Please go ahead.
Oliver Huang: Good afternoon, everybody, and thanks for taking my questions. On the charging service segment, I just wanted to see if there was any incremental color with respect to a couple of quarter-over-quarter trends versus Q4 2021 that we're seeing with respect to charging service revenue and gross margins, especially kind of getting a growing absolute charger base or if it's just kind of due to some sort of one-off.
Michael Farkas: Well, so what you're seeing -- I'm sorry, which is -- obviously, we're seeing increases in charging, but do you have a specific question to the abnormality testing?
Oliver Huang: It's more so the quarter-over-quarter decrease in this charging service revenue and just on the gross margin side of things, how the cost…
Michael Farkas: Yeah, we look at that, and it's really not -- it's interesting. What we're seeing is there were actually -- and it starts to matter and when you just look at it there was actually, I think, 92 or 93 days in Q4 and only 90. And so each day does make a difference when you look at on the kilowatt sold. So we looked at that, we actually had a little bit less kilowatt sold in an absolute amount, but it was you had less days. So you have a little bit of a factor in a number of days that are sitting in the quarter. So, you might see some normality from time to time. with that -- and there was -- let's say, we also -- we did experience a little bit of probably some weather plays a factor in charging in the winter seasonality and a little bit of pullback probably from the Omnicon bit reset that reflected in the first quarter.
Oliver Huang: Perfect. That makes sense. And for a follow-up, just kind of bigger picture, given significant owner-operated structure that leverages to utilization. Is there any color on how you'll see trajectory of gross margins on the charging electricity services segment tracking over time when we kind of consider the potential for increased competition future years potentially kind of coming into play?
Michael Farkas: Well, I'll answer that simply from -- we expect to see some increases, obviously, more usage, you're going to see more scale as it relates to some of the fixed components of electricity. I'm not sure -- I don't know if Michael or Brendan, want to jump in, I think, virtually jumping in.
Brendan Jones: Yeah. The good thing about our business is as we acquire more customers and as we have more volume, it impacts all of our costs. Our cost of electricity go down considerably as we buy more and more throughout the country, similarly with hardware. From the actual installation perspective, maybe not as much. But we're going to be able to increase margins even while we reduce prices because of our cost of electricity should go down considerably as we're able to negotiate bigger contracts on a nationwide basis. Today, we typically use the meter of the property owner or we bring in our own meter, and we're not aggregating energy at this point in time. But as volume increases, we will.
Oliver Huang: Awesome. Thanks for the color.
Operator: Thank you. Your next question is coming from Noel Parks from Tuohy Brothers. Noel, your line is live. Please go ahead.
Noel Parks: Hi, good afternoon. I wanted to follow up on the product launches. It was good to get the detail about the time frames for when they're going to be rolled out. I'm just curious about the marketing effort behind those. Is that for these different product lines are they essentially just bolt-ons to the existing marketing spend, or are there sort of new separate efforts as far as maybe establishing the brand in these different markets?
Michael Farkas: So I'll address first the fleet side. So it's going to be a new effort, but it plays over the strength of the overall Blink brand. So we will -- we've increased our ground game already, hired new staff, et cetera. At all fleet is very event intensive. You'd be surprised at the amount of fleet shows that happened in the United States. We began to sign up for them in Q4 of last year, and we're indeed attending them. We've already won one of our first fleet contracts from attending one of those conferences. We'll increase to direct publications in the fleet space, our spend in media and also Geo target other online and digital ads to where the fleet companies live and breathe. And then the other part that it may be one of the biggest contributors is your lobbying effort and your boots on the ground towards governments, who have a lot of mandates on the fleet side, you have to have strong relationships with them to be in contention for their fleet bids as they transition their fleet. So both private through a lot of ESG initiatives in both public, the fleet space is booming. I mean it's a huge market.
Noel Parks: Great. And also the home charger line, any differences there?
Michael Farkas: Yes. So on the home charger, we predominantly retail the home chargers through online resources. So we're going to continue to do that. While we're simultaneously exploring other options, some marketplace options and direct the Blink options, and then we'll continue to advertise that through our standard marketing products, whether it's online or direct-to-consumer advertising of various different natures. But we're exploring some options to get better reach and frequency on sales on that.
Noel Parks: Great. Thanks. And then just the other thing I wanted to touch on is an area where you've had just a lot of success over time is certainly domestically on the grants side. And so I was interested to hear with the UK acquisition that your new company also has been very active in grants and tenders. So a., any insight you can give on just how that's going domestically and would be great as well.
Michael Farkas: Sure. So we're doing good as we announced, we're still increasing. We're at $30 million since January last year on that. The bulk of the money coming from the Biden administration, the 7.5% is broken up into two different sections 5 billion for federal and then for state money that they're going to dole out and then 2.5 stays with the Fed for low income, rural and other charging services. The states are just getting a hold of the rules now. They're going to start rolling out their RFIs first, the request for information, then their RFPs in about Q2 -- I mean, excuse me, Q3 Q4. We'll see some awards roll in this year, and then we'll see some role in next year. Now Blink after giving the $30 million last year, we've increased and doubled the size of our RFPs and grants team, who are active right now on responding to all sets of other opportunities that are still coming. And as a matter of fact, we just got another opportunity that was still aligned with the Volkswagen Mitigation Trust from the Dieselgate scandal where another state, Illinois, is just allocating a couple of million dollars of funding there. So -- everything is popping right now. There's a little bit of a pause because of the waiting for the Fed money to roll out, but both state, municipal and federal, the money is going to roll in, and we have the team to take advantage of it. We will get our unfair share.
Noel Parks: Terrific. Thanks a lot.
Operator: Thank you. And we have a follow-up question from Stephen Gengaro from Stifel. Stephen your line is live. Please go ahead. 
Stephen Gengaro: Thanks and Thank you for taking the follow-up. So just when I think about -- and you started to touch on this, I think, Michael, the way the operating expenses should evolve as we kind of move forward here over the next, say, one to two years. Can you give us any additional color on how we should think about the even its operating expenses in aggregate as revenues rise and how those -- how that percentage kind of evolves?
Michael Farkas: Yes. And obviously, we're continuously still investing in the growth, as we mentioned, domestically and internationally. There's -- we're still rounding out areas as we move -- but we don't know that timelines, right? So we're still encountering placing resource needs that we have, and we're seeing it in other areas. So -- as a percent, we definitely will experience some scale. We definitely expect to see scale in those operating expenses, especially in the compensation and the salaries area. So we do -- over the next couple of years, expect that percentage for sure to improve from where it's at now to over time. So we'll still see a little bit of a ramp up in the short term, but we'll see that moderate over the next, I'll call it, 24 months, 18 -- maybe 18 months in 24 months.
Stephen Gengaro: Okay. Great. That's helpful. And then the second one, when you think about acquisitions and maybe EV Blue  is a good example, -- how do you weigh the acquisition versus sort of organic growth? I mean I imagine it's just value per dollar spent and a more rapid penetration into the market. Is that how we should be thinking about it?
Michael Farkas: I would say so.
Stephen Gengaro: Yes. Okay. Okay. Great. No, that's all I have. Thanks for the color John  
Michael Farkas: It's very important to note that when we do our acquisitions, is there strategic from many vantage points. It's not only about the portfolio of charging stations that they have in the ground. It's not only the locations that they have rights to. It's also about having the infrastructure available for us to expand immediately, if we have customers that we work with on a global basis that are also present in those areas. In addition, obviously, with the EB transaction, when we paid $13 million down and we have a $16 million pipeline. Obviously, that makes sense additionally, especially now we're going to be replacing it with the equipment that EB bought from a third party with Blink manufactured/designs networks equipment. So, again, it's looking at it from many different vantage points. And if you look at what we did with Blue Corner, we bought the business. I think, we're pretty creative in expanding this business, and now it's much, much larger than it was prior to purchasing it. And that's kind of our strategy and focus when we buy these companies. It's not only the natural growth that they have; it's what we could add to the picture as well.
Stephen Gengaro: Excellent. Thank you.
Operator: Thank you. And there are no further questions in queue at this time. I would now like to turn the floor back to management for closing remarks.
Michael Farkas: Thank you, everyone, for joining us today. We are extremely energized by the progress that we've made this past quarter and we're excited by the many opportunities on the horizon as a leader in the EV charging industry. We look forward to speaking with you again very soon. Thank you, everybody
Operator: Thank you. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.